Operator: Good afternoon, and thank you for attending the Alta Equipment Group Third Quarter 2022 Earnings Conference Call. My name is Dante, and I’ll be your moderator for today's call. I would now turn on the call to Jason Dammeyer, Director of SEC Reporting and Technical Accounting with Alta Equipment Group. Sir, the floor is yours.
Jason Dammeyer: Thank you, Dante. Good afternoon, everyone, and thank you for joining us today. A press release detailing Alta's third quarter 2022 financial results was issued this afternoon and is posted on our website along with a presentation designed to assist you in understanding the company's results. On the call with me today are Ryan Greenawalt, our Chairman and CEO; and Tony Colucci, our Chief Financial Officer. For today's call, management will first provide a review of the second quarter financial results. We will begin with some prepared remarks before we open the call for your questions. Before we get started, I'd like to remind everyone that this conference call may contain certain forward-looking statements, including statements about future financial results, our business strategy and financial outlook, achievements of the company and other non-historical statements as described in our press release. These forward-looking statements are subject to both known and unknown risks, uncertainties and assumptions, including those related to Alta’s growth, market opportunities and general economic and business conditions. We have based these forward-looking statements largely on our current expectations and projections about future events, and financial trends that we believe may affect our business, financial condition, and results of operations. Although, we believe these expectations are reasonable, we undertake no obligation to revise any statement to reflect changes that occur after this call. Description of these and other risks that could cause actual results to differ materially from these forward-looking statements are discussed in our reports filed with the SEC, including our press release that was issued today.  During this call, we may present both GAAP and non-GAAP financial measures. A reconciliation of GAAP to non-GAAP measures is included in today's press release, and can be found on our website at investors.altaequipment.com. I will now turn the call over to Ryan.
Ryan Greenawalt: Thank you, Jason. Good afternoon and everyone, and thank you for joining us today. I will discuss our third quarter financial highlights, the continued strength of our business, and the current market conditions. I will then provide an update regarding the solid execution upon our growth strategy, including our recent acquisition of Ecoverse and the M&A environment going forward. Tony Colucci will then provide a more in-depth review of our third quarter results.  But before I get into our third quarter highlights, I want to recognize our employees because without their hard work and dedication, our strong performance would not be possible. In particular, I would like to commend the Alta team for exemplifying our guiding principle of one team, as employees from across the company rallied to support our Florida based team members affected by the devastation of Hurricane Ian. We are proud of our culture and our corporate purpose of delivering trust that makes a difference. It was inspiring to see our passionate Alta team members step up to help our customers, neighbors, and co-workers in such a stressful and turbulent time.  Now, referencing Slide 5 of our investor presentation. For the third quarter, our business continued to deliver consistent and solid growth. Our position in the market is unique and our success continues to be driven by both organic expansion and successful M&A activity. As a result, our total revenue increased 37.3% to $405 million. As of the end of the third quarter, we have generated $1.1 billion in total revenue, roughly equal to our total revenue for full year 2021. We continue to deliver solid revenue gains in both our Construction and Material Handling segments, as Tony will detail in his comments. We also continue to achieve positive GAAP net income compared to a loss a year ago.  Adjusted EBITDA also continues to grow increasing 39.2% to $44 million versus the year ago quarter and has nearly surpassed 2021 levels on a year-to-date basis. Supply chain headwinds continue to persist, but have stabilized. Our robust Product Support business continues to thrive as lead times for new equipment are driving more repair and rebuild business from our existing field population. Tight availability has also kept pricing for both used equipment and rental rates at elevated levels. Our strong performance continues to reflect the consistency in our business and the stability in the markets we serve. Demand for parts and service continues to be at high levels and sales backlogs remain at record levels. Our rental fleet continues to benefit from increased financial and physical utilization with higher rates driven primarily by the continued supply-demand imbalance.  The tight labor market is pushing companies to increasingly adopt integrated and automated material handling solutions. And on a longer term basis, we also remain encouraged as several Federal initiatives are likely to positively impact the extension of the cycle, including the $550 billion Infrastructure Bill and the CHIPS and the Inflation Reduction Acts, which promote increased investment in manufacturing and renewable energy. A related trend, the repatriating of advanced manufacturing to the U.S. is directly benefiting many areas of Alta’s geographic footprint in the Great Lakes region and in the Northeast.  Let me conclude with an update on our growth strategy. The success of which is clear in our financial result and on track as evidenced by our recent transactions. Referencing Slide 7, since we went public in 2020, we have completed 13 acquisitions representing total revenue of $440 million. We believe that the long term trends driving consolidation remain, and we do not anticipate slowing from our acquisitive growth strategy.  Our acquisition of Yale Industrial Trucks, a privately held Yale lift truck dealer with five locations in Southeastern Canada is progressing very well and we have added several new OEM vendor relationships to expand our product offering for the Ontario and Quebec markets. We expect that additional allied product line sales will result in growth of the Product Support business over time, driving additional parts sales and technician headcount. As we mentioned in our previous call, the addition of the Canadian region to Alta's exclusive territory takes us to approximately 20% of the North American addressable market for lift trucks and creates additional opportunity to cross sell the integrated solutions of our PeakLogix material handling business.  We recently closed our acquisition of Ecoverse Industries, which provides us with the master dealer rights to distribute best-in-class environmental equipment and replacement parts to dealers and customers throughout North America. This immediately positions Alta as an industry leader in the rapidly growing market of eco-friendly waste solutions and material recycling, which we believe represents a significant opportunity for our business. I'll make a couple of points on how Ecoverse meets our strategic M&A criteria.  First, we look for businesses that are anchored by our relationship with a market leading manufacturer of premium products with exclusive territorial rights. Secondly, we look for businesses where the field population of equipment creates annuitized revenue streams in the form of aftermarket sales, of replacement parts and product support services. We also prioritize businesses with cross selling opportunities across our other product offerings and with the opportunity to grow what we call wallet share of our customers' spend for all categories we cover.  We believe Ecoverse checks all the boxes, and is our first entree into master-dealer relationships with equipment manufacturers. We are excited to have the Ecoverse team on board and we see exciting organic opportunities to expand in the fast growing environmental equipment space.  Lastly, in terms of growth, we continue to build out our capabilities in e-mobility as we position Alta as the dealer of the future and look for ways to leverage our platform and existing infrastructure to capitalize on emerging market trends and support our customers' evolving needs.  To close, we are very encouraged about our strong financial performance thus far in 2022, and believe our business has significant opportunities for the balance of this year and into 2023. Again, I want to thank the Alta team for their significant accomplishments. And I'll now turn the call over to Tony. 
Tony Colucci : Thanks, Ryan. Good evening, everyone, and thank you for your interest in Alta Equipment Group and our third quarter 2022 financial results. I hope that you and your families are looking forward to the holiday season and a strong finish to 2022 as we are here at Alta.  Before I begin, I want to welcome our new team members from Ecoverse to the Alta family. The senior leadership team is committed to building upon the legacy that the Ecoverse team has established. We look forward to earning your trust and demonstrating what we call, one team.  My remarks today will focus on three areas. First, I'll be presenting our third quarter results, which were again strong across the board. Despite news headlines related to the macro economy, our business is performing well in the current climate as our service-centric model and market diversity and breadth of offerings are benefiting us in an otherwise choppy operating environment. Second, I will provide the Ecoverse -- I will profile the Ecoverse acquisition from a financial perspective as this deal has a unique structure when compared to our typical acquisitions. Lastly, I'll provide commentary related to the increase we made to our 2022 adjusted EBITDA guidance, which was noted in today's press release.  Before I get to my talking points, it should be noted that I will be referencing slides from our investor presentation throughout the call today. I'd encourage everyone on today's call to review our presentation and our 10-Q, which is available on our Investor Relations website at altg.com.  For the first portion of my prepared remarks, and in line with slides 10 through 13 in the earnings deck third quarter performance. For the quarter, the company recorded revenue of $405 million representing consecutive quarters where quarterly revenue exceeded the $400 million mark. Recall that reaching $400 million of revenue in the second quarter was the first time for that milestone in the company's history. Embedded in the $405 million of revenue is a 21.8% organic sales increase over Q3 2021, making for a sizable beat on a comparative basis.  From a nominal dollar perspective, the majority of the quarter-over-quarter revenue beat related to approximately $72 million in additional equipment sales with $45 million of that figure coming through on an organic basis. This increase continues to be a function of the supply and demand imbalance in the heavy equipment and material handling marketplace, and our business taking competitive market share in certain geographies.  Focusing on specific revenue streams, our Product Support business lines continue to realize strong organic growth in both segments, with that figure increasing an impressive 17.3% in the Material Handling segment, and 15.8% in the Construction segment year over year. Parts and service revenues were $116 million for the quarter, another new record for that metric.  I'd like to focus on that number momentarily and provide some historic perspective on it. In 2019, prior to the IPO, the company was averaging approximately $40 million a quarter of parts and service revenue. Three years later, we're realizing almost 3x that figure on a quarterly basis. This type of growth doesn't come easy and it comes one work order at a time and is a testament to our 1,150 skilled technicians and our service management team's capacity to run a large, best-in-class operation, which touches thousands of pieces of equipment and customers each month. Make no mistake, our parts and service revenue is indicative of our prowess as operators, as the product support end of our business requires excellence that comes in equal parts, human resources, technology, management, health and safety, logistics and grit. Congratulations to our operations team on another great quarter.  Moving on to our Rental business, and this is another department that continues to have a really solid 2022. For the quarter, we realized double digit organic growth of 12.5% in rental revenue based on a continually increasing rental rate environment and an increase in physical utilization when compared to last year.  Moving on from revenue to EBITDA, on a pro forma basis, adjusted EBITDA was $44 million for the quarter, which is up 39.2% or $12.4 million from the third quarter 2021. On a year-to-date basis, the company produced $115 million -- $115.4 million in adjusted EBITDA versus $83.1 million last year or a 39% increase. On a trailing 12-month basis, we achieved $163 million of adjusted pro forma EBITDA, which converted into $111.7 million of economic EBIT for a 68.5% conversion rate on EBITDA. As I've mentioned on previous calls, with the asset-light businesses we've added to our platform via M&A and our organic growth in parts, service and rental, we expected to drive this conversion metric higher in 2022, and results through the third quarter are in line with that expectation.  Lastly, on cash flow and as depicted on Slide 13 of our investor deck, on an adjusted pro forma [Audio Gap] to growth CapEx. In our view, this metric is indicative of economic earnings associated with driving equity value for shareholders.  Finally, for the quarter, the company was again profitable on a GAAP net income basis as that number came in at $4.4 million.  A quick update on the balance sheet and our credit profile as of quarter end, and referencing Slide 14 specifically. We ended the quarter with approximately $270 million in cash and liquidity on our revolving line of credit. And total leverage came in at 3.3x, 2022 adjusted pro forma EBITDA. Notably, we were able to acquire YIT Canada, a sizable acquisition relatively speaking, effectively hold our liquidity position and delever the balance sheet during the quarter.  Now for the second area of my prepared remarks, I want to summarize the Ecoverse deal for investors, and in particular its unique structure and its impact on Alta from a financial perspective. First, we've added approximately $64 million of revenue and $10 million of EBITDA to the business on an annualized basis with the acquisition. The consideration paid in the deal came in four tranches, tranche one, $42.5 million in cash at close; tranche two, $2.5 million in Alta stock at close; tranche three, a five-year, $6 million seller note; and tranche four, $16 million of contingent consideration.  First, from a total purchase price at close perspective, if we combine the first three tranches of consideration, we are entering the deal at 5x EBITDA. And it's important to note that given the asset-light nature of the Ecoverse business model, EBITDA and pretax earnings are somewhat interchangeable in terms of the relation to free cash flow. So at 5x pretax earnings, this deal is immediately accretive to Alta shareholders and is minimally impactful to our leverage profile.  As it relates to the contingent consideration or the earnout, I would say that the seller believes strongly as do we in Ecoverse’s ability to grow in the coming years and we wanted to structure a deal that would reward the seller for future growth, but also wouldn't inflate the deal multiple for Alta shareholders over time. In other words, the structure allows the seller to realize the benefit of incremental growth without the buyer having to pay a growth multiple for the deal.  To summarize Ecoverse has the ability to earn an additional $16 million of contingent consideration to the extent they increase earnings beyond the $10 million of annual EBITDA but given the structure of the earnout any consideration paid relative to the earnout won't increase the deal multiple paid by Alta beyond 5x.  As it relates to the historic M&A and again to provide some historic perspective, I mentioned earlier in the call that our pro forma annualized EBITDA as of September 22 was $163 million. Considering that Alta’s annual EBITDA at the IPO was $94 million and the $42 million of EBITDA that has come through M&A, it follows that we've been able to grow EBITDA by $27 million on an organic basis in less than three years, suggesting that the engines of our growth strategy, both M&A and organic, have been running strong.  For the last area of my remarks and as presented on Slide 18, I'd like to discuss the increase we made to our 2022 adjusted EBITDA guidance. We've increased the range on expected adjusted EBITDA for 2022 to be between $155 million and $158 million, up from $147 million to $152 million previously. There were three primary factors that influenced our thinking around the new guide for fiscal 2022 adjusted EBITDA. First, we have to acknowledge our outperformance in Q3 relative to expectations when determining guidance for year end. Second, we're confident that the strength we've seen thus far in 2022 in parts and service will continue through the end of the year and into 2023. We are also confident in the continued demand for equipment and our ability to deliver strong equipment sales numbers in Q4, given what we have in our yards and in our shops currently. Given this, we are expecting to outpace last year's Q4 adjusted EBITDA performance on an organic basis. It's important to note that our Q4 outperformance in 2022 -- sorry, 2021, was extremely strong and was a record quarter for the company at the time. Third, on the list of factors, we must also layer in two months of Ecoverse’s performance into the results for the fourth quarter.  Given those three positive factors, we felt it appropriate to raise our guidance once again this quarter.  One caveat to make here when comparing Q4 expectations relative to Q3’s performance is that, investors should be reminded that our rental business in the North is seasonal, and we always see a natural reduction in rental revenue and corresponding EBITDA as the colder weather starts to impact the business in the back half of the quarter specifically.  All told and when considering that we began the year with an expectation of $137 million to $142 million in adjusted EBITDA for fiscal 2022, we will be extremely pleased with the result for the year that lands within the updated guidance range.  In closing, I want to congratulate my colleagues at Alta on another great quarter, their support for one another and our collective purpose to deliver trust that makes a difference.  Thank you for your time and attention. And I'll turn it back over to the operator for Q&A. 
Operator: Thank you, sir. [Operator Instructions] Our first question comes from the line of Matt Summerville with DA Davidson. Your line is now open.
Matt Summerville: A couple of questions. First, just on the acquisition, can you talk maybe a little bit more about the TAM and the long term organic trajectory in the waste and recycling type of market that you're looking at? And whether or not there's more deals to be done here and whether this can be a material piece of Alta’s business going forward over long-term? And then I have a follow up.
Ryan Greenawalt: I'll take that. This is Ryan. So Matt, this sector is in its early innings. The U.S. market is catching up to Western Europe in terms of the market size. And today, Doppstadt, which is the flagship OEM that comes with the Ecoverse business, they are measuring their share globally around 20%. So, the total addressable market that we see today is a global business that's less than $2 billion of equipment machinery across what we're defining as this environmental sector. We think that the organic growth of the sector is going to be phenomenal and the U.S. market is poised to be a big part of that as it sort of catches up with the European counterparts. So we don't think that we need to acquire anything to participate in their organic growth story.  This is really more of a through the sub dealer channel and through our own APR really trying to drive adoption of these types of machines. And part of why a master dealer relationship makes sense with some types of products is they're specialty products that have a long sales cycle. They require a lot of engineering expertise to sell them and a lot of handholding from some party. And so that's where Ecoverse comes into play. They're experts in that area. So we'll be -- we'll keep that team in place and we'll leverage them across the geographies that we operate and continue to support our sub dealers and just trying to grow that overall market for recycling. 
Matt Summerville: And then maybe Ryan, I was hoping maybe do a little bit of a deeper dive on some of the key end markets in which you participate. And I know you list them on one of the slides in the deck, which is great. But maybe on a relative basis, the organic in material handling over 30%, obviously sort of off the charts. Maybe if you could spend a minute particularly on that business and dig in, where are you seeing the most demand for equipment, the most demand for parts?  And you mentioned in the release that there's obviously signs of macro slowing, have you seen any signs of slowing in the business? Any customers canceling orders for equipment? Maybe speak to that in more detail. 
Tony Colucci: Yes. Hey, Matt. It’s Tony, if you don't mind, I'll take that one. I'll take the back end first. We have yet to see any sort of increase in cancellations of equipment. And I always try to remind everybody that our business is less kind of impacted by equipment sales in general. Some of that 30% that you're referring to is equipment driven. And so what that means for us is, we were able to take delivery of supply that's been in the backlog for quite some time now from Hyster-Yale specifically, and get that delivered in the third quarter, which led to the higher equipment sales.  Now when you think about organic numbers in the product support departments, parts and service and rental, those are still high teens, low 20s in the Material Handling segment. And it's broad based, Matt. It's anywhere from the automotive sector that continues to run and be busy from what we can see, all the way through certainly human sustenance, grocery, food-and-beverage, and then just logistics and warehousing and e-commerce in general.  So we have yet to identify a soft end market on the material handling side to your question. And the growth in general is coming from -- there's always price and quantity, right? We're pushing more parts out the door. We've added headcount from a mechanics perspective, that's the quantity. But we've also moderately increased pricing too, and those two things combine for the organic numbers that you see here. 
Operator: Thank you for your questions, sir. Our next line of questions comes from the line of Alex Rygiel with B. Riley. 
Alex Rygiel: A couple of quick questions here. As it relates to the new and used equipment sales line, the global supply chain has obviously been a challenge and it seems like Alta has done an exceptional job of getting equipment sort of delivered into its customers on on-time basis here. But I guess my question is, more broadly speaking, do you feel like you've been short in supplying the market and is there upside here as the supply chain improves? And then kind of on the flip side, if the supply chain does improve, do you think there's downside risk to the margin of that business? 
Tony Colucci: Alex, this is Tony. Good evening. I think, both those things are true. Meaning, if we had more equipment given the backlog where you literally have customers' names on orders, right, at the OEM, it follows that if we had that supply, we would get it out the door. So to the extent that the supply chain continues to ease up a little bit, we would be able to get more equipment out the door given the level of demand. And then, it would be disingenuous. We've seen an uptick in margins, and because of the dearth of equipment that's out there, specifically in the used markets where we've realized some good margins relative to history, I think, if things do break loose, we would probably expect those margins to come in a little bit.  Having said that, to the extent it's offset by volume, to my previous point on pricing quantity, nominal GP probably stays flat, all things equal. But we're still working off of record volumes. I think, Ryan made a point to mention in his remarks. We still have a volatile supply chain for equipment, but it's not worsening from our perspective. And our OEMs I think are doing a fantastic job kind of navigating it, and in getting us equipment.  The other thing I would mention, Alex, is we've benefited from our scale throughout this whole episode in terms of being one of the larger Volvo dealers or Hyster-Yale dealers in the country as well as, filling with ancillary product lines and having relationships with JCB and Kubota and Case New Holland and the list goes on. And so by virtue of not being kind of tied to one OEM, I think that's played itself out in the top line new and used equipment. 
Alex Rygiel: Very helpful. And then as it relates to the hurricane that you referenced, can you talk about or quantify the negative impact it may have had on the September quarter? And then possibly talk about the negative and/or positive impact it could have on the fourth quarter? 
Ryan Greenawalt: I'll take that. Alex, it's hard to see any real negative immediate impact. Everyone really rallied to keep the business active and in supporting our customers. And if anything, COVID gave us kind of a dress rehearsal for how you -- we're an essential business, we have to be open. And people need our equipment in times of emergency. So the business didn't really miss a beat. And long term -- well, we were cautiously watching what's happening just with housing in general. And we don't feel that we're overly tied to the residential construction side. We think that the hurricane clean-up is going to actually create more demand if anything. So I don't see a negative impact. And then just in terms of our industry, unfortunately natural disasters create more need for equipment and it becomes a little bit of a demand driver. 
Tony Colucci: Yes. Alex, just to put a fine point on that. For Q3, immaterial impact to the financials from the hurricane. 
Alex Rygiel: And then lastly, just one modeling question, it sounded like sort of there's a suggestion that, due to seasonality, obviously there's a little bit of a fade that typically develops in the fourth quarter. How do you see that playing out this year? And when we layer in the acquisition, do you still see that fade in reported results? 
Ryan Greenawalt: We do. I do Alex. We -- it's a function of our -- I think that the fade -- the more that we grow and we add M&A like Ecoverse here most recently, the fade will become less and less. But the reality is, we still have a material portion of our rental fleet in the Northern parts of the U.S. And so the fade will be there. It would be -- it's nice here in Michigan the last couple of weeks, which is good to see, but it's coming, it'll be inevitable. So the fade will be there. But I think if we look back historically, it will be less and less of a fade given kind of our -- how diversified we are now. 
Operator: Thank you for your questions, sir. Our next line of questions comes from the line of Ted Jackson with Northland Securities. Your line is now open. 
Ted Jackson: I assume you can hear me? 
Ryan Greenawalt: We got you. We got you, Ted. 
Ted Jackson: Alright, sorry, I'm in an airport right now. The first one is just kind of a fun question. It's just kind of update on what's going on with Ecoverse, just distribution business and kind of just an update on that? 
Ryan Greenawalt: Ted, this is Ryan. So, the update there is that we're continuing to work late stage sales opportunities. And the consistent theme is that with selling the battery electric vehicle, there's a need for integration of the charging infrastructure, which has long lead times. And so while it's lengthening the sales cycle, it's also creating tangential opportunities for us to credentialize ourselves and build out service offerings as a company. So I would say, in the last quarter, that's where we've been focused is building out our team and focused on helping our customers navigate the needed infrastructure and continuing to develop late stage sales opportunities. We’re confident that we'll bless some trucks in customers' hands in the next year. 
Ted Jackson: Then just shifting over to Ecoverse, I mean, I'm not sure if anyone has put Ecoverse into their forecast yet for next fiscal year. But assuming that they've not just maybe a little discussion with regards to how you think about putting that into the model? They did $64 million on a trailing 12 month basis with $10 million in EBITDA. I assume it'd be something a bit north of that. And then like kind of maybe talk through how it might layer in on a seasonal level as well? 
Tony Colucci: Yes, it's good question, Ted. And I agree with your number, $64 million revenue, $10 million of EBITDA. This business does not have a rental revenue line. They'll do some demos and things like that, but this is not a buy a bunch of rental fleet and rent it out. They are buying equipment from their OEMs and turning it to their dealer network. And they're doing the same thing with parts. We would expect some growth given kind of the tailwinds that Ryan referred to from a macros perspective. They're experiencing the same thing that we're experiencing in our Construction and Material Handling business, which is high demand, lots of backlog, supply chain issues with OEMs and et cetera, et cetera.  Ecoverse is doing today about $800,000 or $900,000 a month in parts revenue. We're going to report Ecoverse as part of a new segment in our business called equipment distribution, given its master dealer agreement status. And so you'll be able to see kind of parts on a quarterly basis. And what we know from our legacy businesses, when we have more sales and field population, the parts will trail and grow kind of on a lag basis. So we expect to grow, Ted. It's probably too early to talk about exactly what that number looks like from Ecoverse, but it's been a 20%, 25% growth company historically. And we would hope to be able to continue that. 
Ted Jackson: And is there any seasonality to it? 
Tony Colucci: Sorry, no. There may be a little bit of seasonality in their sales season where they're selling earlier in the year, so that customers can have equipment, March, April. But we shouldn't say a lot of seasonality, Ted, I guess is the long and the short of it. 
Ted Jackson: Okay. And then my last question is, I just wanted to jump over to the warehouse automation business. I mean, you've seen clearly a lot of slowdown in e-commerce and Amazon has kind of put a hold on new distribution centers and people are saying there's subletting space. Can you spend a little time kind of talking about what you're seeing in that particular segment of your business and how it might impact you? And then I'll step out of line. Thanks. 
Ryan Greenawalt: Ted, this is Ryan. I'll take that. So we keep fielding questions about that kind of headline number about warehouse space. And what we're seeing is that actual old warehouse spaces being retrofitted and a lot of these projects are still happening, and we haven't seen any slowdown in demand for warehouse integration or autonomy type solutions. In fact, I would say that -- and I referenced this in my remarks, we think that labor tightness is actually driving a lot of appetite for this type of project. And historically it was all based on ROI, today ROI is part of it, but just being able to achieve results is part of it too, being able to move product and have the certainty of being able to keep their operations running with the lack of talent out there. 
Operator: At this time, there are currently no questions registered. [Operator Instructions] There are no questions registered. So I'll now like to pass the conference over to our management for any closing remarks.
Ryan Greenawalt: That's it for management. Thanks for joining us this evening. That concludes our remarks. Thank you.
Operator: And with that, we'll conclude today's Alta Equipment Group third quarter 2022 earnings call. Thank you for your participation. You may now disconnect your line.